Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to the Xinyuan Real Estate Company Limited Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, we are recording today’s call. If you have any objections, you may disconnect at this time.  Now, I'll turn the call over to Julia Qian, Managing Director of the The Blueshirt Group Asia. Ms. Qian, please proceed.
Julia Qian : Hello, everyone. Thank you all for joining us on today's conference call to discuss Xinyuan Real Estate Company's financial results for the fourth quarter and full year of 2019. We released the results already today. The press release is available on the company's website as well as on Newswire services. Before we continue, please note that today's discussion will contain forward-looking statements made under Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's public filing with SEC. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law.  On the call with me are Mr. Zhang Yong, Chairman and Chief Executive Officer; Mr. Li Shangrong, President; Mr. [indiscernible], Vice President; and Mr. Brian Chen, Chief Financial Officer. Mr. Zhang will make comments on business results and strategies. Brian Chen will provide additional detail on the company's financial results and outlook. Mr. Zhang, please go ahead.
Yong Zhang: Thank you, Julia, and hello, everyone. Thank you for joining our fourth quarter and full year 2019 earnings conference call. In 2019, China's holding market [indiscernible] value and sell price. This was due to consistent regulatory effort by the central authorities and the local government to curb property at [indiscernible]. We view this as healthy development and accord the government effort. We believe both customers and developers are better off to have both prices and new construction with underlying demand. In that regard, we are still bullish on the long-term growth prospect in China. We believe the economics will continue to grow robustly, moving more and more families into the middle class. Similarly, we see the best economic opportunities for people in the large cities. So, urbanization should continue. This has a massive revolution over the past decade, less than 16% of the population being in the cities. We expect that proportion to grow up to 70% in the next five to 10 years. The mass cities like Beijing, Shanghai, Guangzhou and Shenzhen are already extremely expensive. So, we think urban iteration will shift to other large expensive cities. We have positioned both capitalize on this [indiscernible] with our focus our high quality home in Tier 2 -- Tier 1 and Tier 2 cities. 2019 reflects environment of [indiscernible] hampered by the efforts to reduce the [indiscernible]. Our full year revenue reached to $2.5 billion, up 11.9% year-over-year. This was driven -- this was driven by higher GFA sales, which increased 7.1% to 1.14 million square meters from 1.07 million square meters in 2018. In 2018, we also strengthened our infrastructure. In October, we listed our property management business on Hong Kong Exchange. In addition to monetizing that business and achieving our additional capital to elect retail investors to [indiscernible]. Our confidence in our long-term outlook is reflected in our [indiscernible]. We again declared a dividend in the fourth quarter of per ADS. The cash to them will be paid on May 8 to shareholders on record as on April 17, 2020. We have been paying dividend since 2011, and I'm very pleased that we were able to continue this in this year. We are proud that our operating team is excellent, and financial strength -- we're commonizing our industry for the 15th straight year. We were ranked in the Top 100 Chinese Real Estate Developers. This is important because it reinforces our [indiscernible] potential customers, investors and partners. Equally important is our -- claimed as top five Chinese real estate developers. Integrating technology to improve our propriety and the services is the key differentiator that may impact to drive good growth. So we are pleased that the industry recognize our this fiscal. With that, please allow me to turn the call over to our CFO, Brian Chen. Brian, please go ahead.
Brian Chen: Thank you, Mr. Zhang, and good day, everyone. Thank you for joining us on the call today. I'm excited to be on this call. I have been on a recent trip to [indiscernible] since early February. And New York has given me the opportunity to speak with many of our shareholders as well as analysts and other financial investors. I want to thank our shareholders for your support, your interest in our company and your constructive feedback and suggestions. Since we have been public in 2007, we have been developing a whole new real estate ecosystem positioning to capitalize on industry trends. We are proud of the recognition we received, [indiscernible] and we are excited about our future. As Mr. Zhang just mentioned, we finished 2019 with solid results. This is not easy. Given our optimistic outlook, you should not be surprised that our level of development is still high and growing. At year end, we actually had 1.9 million square meters of active projects and another 2.6 million square meters of projects in planning. We are still in the finalizing these projects that will fuel our growth in 2020 and beyond. So starting 2020 was challenging as all of you know. Our industry was already grappling with a slowing economy and regulatory efforts, and then of course the virus case. The Chinese government did an outstanding job in quickly bringing it under tight control, saving hundreds of lives in China. We applaud and fully support that effort. Of course, that means we need to manage through a fixed lock down across our markets in China, like any of our peer developer in China. To fully support this virus effort, we closed all our sales office and construction site for the last one and half months. We have quickly and switched to virtual work, including promoting online sales. Nevertheless Q1 of 2020 result will impact to some extent by this national quarantine. But for that Q1 is typically our slow season. The impact of Q1 only comprise like 6% to 8% over the year budget. So at this moment, although we are not expecting a reality -- we are expecting a relative modest impact from a whole year [indiscernible] net income in this year should be similar to 2019. Recent sales trends in China support our optimism.  Even as the pandemic spreads globally, China actually appears now to have contained the spread. The new identified patients in China fell to double-digits for this 1.4 billion population country. And we see this is [indiscernible] and consumer confidence and spending are gradually recovering. We see ourselves recovering. However, as the virus now spreads globally, sales in U.S. and UK are being impacted to some -- to a lesser scale since business comprises of only a small percentage of our overall budget.  As we look forward, we remain confident and optimistic. We entered this challenging period with a strong balance sheet and solid cash position. It's enabled us to weather the storm like we’re doing in the last 20 and 30 years. We will exit this period with equal financial strength and even stronger business operation. Our property development business is positioned to capitalize on the most compelling trends. We are augmenting our core development business with other auxiliary business, such as the property management service. We are very excited about the success we can achieve in 2020 and beyond.  Now, let me go through the financial results. We are a long cycle business with project ramp over years. So, we measure our own projects on an annual basis. I will review our performance for the full year of 2019. And then later we will touch on Q4.  Revenue of 2019 is US$2.5 billion. It’s grown by almost 12% compared to a year before. Contract sales are down mid single-Digits but GFA sales actually were up 7%.  At Mr. Zhang mentioned earlier, the government took action to reduce speculation in the real estate, certainly impact the pricing in China. We actually have called these actions that will set up the industry for healthy and sustainable growth. We believe that the growth for area, the GFA growth actually demonstrates that the underlying demand remains solid. We continue to attract customers based on the quality of our properties, [indiscernible] property management, and innovating use of the technology.  Gross margin for the year was 22.6%, about 5 percent points lower than last year. It may look down but the decline actually was due to one-off conservative adjustment due to the lower forecast of the future revenue of three projects and other adjustment of full cost of two projects. Xinyuan took a very conservative approach, as the profitability and the revenue on our project on a full cycle basis. We continue to do this for years. And with the external environment challenges, we’re taking an even more conservative approach this quarter which resulted in the one-off adjustment. Net impact of this adjustment is about US$62 million. If you adjust this, you take out this one-off adjustment, our gross margin is actually about 25%, which is comparable with the last three year averages of gross margin and reflect our solid foundation.  As always, we are closely managing the expense. With SG&A of the US$250 million, we will actually reduce our SG&A as a percentage of revenue, down 80 basis points to 10.1%. We did [indiscernible] 2020, we remain especially vigilant on expense control. As a matter of fact, just two weeks ago, we made another cut on our SG&A in our 2020 budget to remain efficient in operating so to deal with the challenges.  In the last month -- I hear a lot of concern and questions about our higher tax rate, which kind of pressured our net income low. Our net income of US$83 million this year, which was down like 21% primarily due to the tax rate pretty high this year again. To explain that, also this overall income tax compared to peer is, there are some unique components to operate in China. Also this overall income tax, about 45% actually driven by some tax rate called land acquisition tax, which is part of the cost of doing real estate business in China. Only 55% are calculated actually based on the net income before tax. For the pure corporate income tax, the expected tax rate was well under control at about 26% in China.  It looks higher because we build up -- our -- the reason this whole tax provision for mainly revenue was early in China as conservative arrangement, we thus have a provision year-over-year of 10% of dividend withholding tax on top of our corporate income tax. There is no cash impact for this dividend withholding tax allowance build up.  Of course, another component driving our corporate income tax consolidated is because we have some overseas expense that cannot transfer back to China and on the project to appreciate the tax deduction impact. Now, let me quickly touch on the fourth quarter. Revenue was down due to lower contract sales, due to about 4 to 5 projects that did not launch the pre-sales for our original schedule. The sales was -- has been postponed and moved into 2020. We expect that the sales can pick up in Q2 to Q3 in 2020. Gross margin decreased versus last year. Again due to that Q4 one-off confirmed adjustment on the forecast on our project. If you take out these adjustments, our gross margin for the quarter stay at about 23% as mentioned earlier the year as the whole year is 25%, a pretty healthy number compared to the prior year and compared to the peer companies in China. Now, let's turn to the balance sheet. A hallmark of Xinyuan is our financial strength. Our strong balance sheet gives confident to our customers, lenders, suppliers and shareholders. At year-end, our cash was over US$1.1 billion. This was a significant increase during the course of the year. We generate cash both from operating and the financing. For the full year, we maintained a positive cash inflow from the operating activities and actually used our majority of that net inflow to pay off our outstanding debt. So on the liability side, debt a little over 3 billion was fairly balanced between long-term of about 1.7 billion and the current debt of about 1.5 billion. So this current portion of 1.5 billion, 25% of them are due in Q1. At this point, we have already set out those current debt in Q1, used the cash on our hand. Including in March, you saw that being up $200 million coming due on short senior notes is on schedule and in full. We took pride -- great pride in meeting all of our financial obligations when they come due. Underlying our confidence is how real estate works in China. Well, if the property are often pre-sold with cash you can collect within 3 months from pre-sales. We have over 3.3 billion of property under development and 0.5 billion projects available for sale. That provides a huge highlight of sales and cash collection. We have used the cash in part to reward our shareholder. As announced by Chairman, Mr. Zhang earlier, we continue to pay a quarterly dividend. We paid quarterly dividend since 2011. For this quarter, we continue to pay a cash dividend of $0.10 ADS, which means that our overall profit attributable to shareholder the payout ratio is about 37% which is a very healthy percentage. It’s consistently comparable with the other Chinese peer real estate developer.  Furthermore, as of Q4 2019, the company has cumulatively repurchased around 1.3 million ADS. As I described, we have already buy back about 14.5% on our ADS. We will continue to do so, based on the solid cash position and the confidence of the underlying ground or the essential ground of the company's operations.  Additionally, I just mentioned the listing of our property management company in Hong Kong that generates cash for us, but more importantly, enabled us to highlight the quality of that business. We host the similar analyst call earlier this week. As of March 31st, the company had a market cap of 855 million Hong Kong dollars or US$112 million.  The business goes well and I will recommend you to look for the company trading code of 1895 and look -- and review the growth of -- and the growth financial performance. As you know, we are global company with aspiration to accelerate development outside our core market in China. We also made great progress with efforts in 2019. We absolutely say we sold 82% of the units in the Oosten project in Brooklyn.  In Hudson Garden project, we increased the number of units we can sell from 82 to 92 and lead a majority part of the retail space to target for 20 years of timeline. We are now marketing the project in China and -- both in China to the Chinese buyer and in U.S. to the local buyer. At the RKO project in Flushing, we received approval for our landmark preservation path, a key milestone for project is important historical value. We have completed the design work and plan to start the construction by the end of 2020 or early next year.  In UK, the Madison project is on track with construction on plan in Baxter. We intend to complete work this year. We have sold about half of the units in Madison as a result. Looking forward, [indiscernible] challenge in this space as we started the year. The first quarter will be impacted to some extent, but because it comprises of only about 7% of our full year budget, we think we can recover very likely 2% to 3% shortfall in the quarter to come.  At this point assuming the virus is under control and the world, at least in China, within Chinese border, slowly return to normal. We anticipate the full year 2020 contract sales of about RMB20 billion to RMB22 billion, consolidated at net income will be around $80 million, which is similar to current year. With that, let's open the call for questions. Mr. Zhang and I are available along with our President Mr. Li and VP of Finance, [Indiscernible]. Operator, please proceed. 
Operator: Thank you. [Operator Instructions]. And we will take our first question from [George Grote], who is a Private Investor.
Unidentified Analyst: Hi. First question is, how much impact from the listing costs in Hong Kong through this quarter?
Brian Chen: The leasing cost, there are two components to it. One component is coming from the share-based compensation we do for this listing process. And the number is about -- in the -- the impact is about $1.7 million stock based amortization -- compensation. And the other component obviously is about the listing costs. The listing cost is about US$3 million.
Unidentified Analyst: Okay. Thank you. Second question is, I noticed the large increase in cash position, how did you achieve that?
Brian Chen: So the other increase of the position on one hand is coming from the positive cash flow we had in the Q4. To come to the exact amount, let me pull out the information. In Q4, our cash -- we had about $457 million coming in -- supported cash coming in for the quarter. That is the main reason. And at the same time some of the gross inflow also coming from the financing activity. To meet the debt due in the quarter, we successfully raised about 4.4 billion Chinese yuan of debt. Even though the net cash provided by the financing is actually a negative of US$53 million, but the financing helped. Overall, the cash increase in the fourth quarter is US$414 million.
Unidentified Analyst : Okay. Last question from me. Can you clarify how it impact the gross margin? You said you took some charge. Can you explain that again?
Brian Chen: In this quarter, we used even more conservative approach to look at all our projects, profitability and overall costs. Bear in mind that we use the POC method to recognize our revenue and costs. So the period recognition is depending on our estimate for the overall projects profit revenue and the cost. For this quarter, we look at mainly three of the project that we significantly reduced sales estimate. At the same time, we have two projects that we increased the estimate of the overall market cost. As the cost is already conservative approach the gross margin was reduced or adjusted US$62 million. So with this one-off impact the year-to-date gross margin was reduced by 25% on the underlying operation to about 23%. And quarter-to-date, our gross margin ratio was reduced by 22% to 23% in the underlying operation to around 15% on the books. Going onward, we will continue to do so, very conservative approach to do this. But I expect that impact won't be as big as this one because this adjustment will drag the historical cumulative adjustment for the last two to three years.
Operator: [Operator Instructions]. And we will take our next question from [Franklin Morton] who is a Private Investor. 
Unidentified Analyst : I have just a couple of questions. Can you give us, maybe put on your website, how people can access the valuation price of your Hong Kong listed property management business just so people can monitor that? And what is the value of that -- you own a percentage of that company, what is the value to you of that listing, the value of your share? 
Brian Chen: Okay. First of all, for the -- for that property service company, it appreciate a pretty good growth and the investment from Hong Kong investment community gives you pretty good recognition of the value. For that business line, it's always part of our business. But it only comprises for about 2% to 3% on our overall sales within our consolidated financial statement. So that 3% to 5% now is revenue growth by -- for the year -- for the 2019, the revenue grows by 36% and the margin grows by 61% and the gross margin is high as 38%, the net profit grows by about 8%. That number show in Xingyang as part of the number list in stock -- New York Stock Exchange, the PE ratio will be about less than 2 times, currently at about 1.2 times.  By splitting out and listing Hong Kong Stock Exchange, currently we share a PE ratio of about 10% compared to our peer company in Hong Kong, a lot of them probably service company list by about 25% to even 50%. So for one thing we believe that bringing on Hong Kong will have the value unlocked there. And there will be more liquidity and more transaction.  As a shareholder, you won't be able to directly go to the Hong Kong to appreciate -- this appreciation directly, but you do that indirectly through Xinyuan’s holding of 60% of that company. The other thing is that bringing that office in Hong Kong will help these official growth faster and better, because not only it will bring a refinancing and additional functions -- additional fundraise opportunities but also list separately in Hong Kong. It will give it more influence into the stakeholder and the community. And it will help this business grow more healthily and managing better.  I hope I answered your question in that way. 
Unidentified Analyst: One other question. You talked in the last conference calls about reducing your debt and making your balance sheet stronger. Where would you like your debt to be and how long do you think you’re going to take to get there? 
Brian Chen: Okay. 
Unidentified Analyst: You want to still reducing it or are you already where you want to be?
Brian Chen: Xinyuan actually is about control or bring our debt ratio to a healthier position. As mentioned in the last quarter, we’re committed to do that. By the end of the year, let me pull out the exact number in terms of the debt. Our overall debt actually reduced -- overall debt reduced from about US$3.2 billion down -- debt to about US$3.5 billion. And the liability ratio -- the overall debt ratio decreased from 91% to 89%. Sorry, the opposite way, the total debt reduced from $3.5 billion at the end of last year to $3.2 billion by the end of this year. Our debt ratio decreased from 91% to 89%. And the net gearing ratio decreased from 304% at the last year-end to 256%. For 2020, we expect that the overall debt we’re going to reduce by another 16% or so. So the overall debt ratio will be continuing to reduce by another 2% to 3% to around 86%, 87%. Our net gearing billing ratio will be further reduced to be around 250%. That is not enough and not good enough. Our two to three year goal or I would say 18 to 20 months goal is to bring our overall debt to around 55% and the net gearing ratio to around 160%.That's a long way to go, but we are on the right track. We are moving to the direction. 
Unidentified Analyst: Yes. Sounds actually you've made a lot of progress. But you still want to go a lot further, which I think makes the story more attractive. I would applaud you for continuing to improve the balance sheet. I think that's a wise move.
Operator: [Operator Instructions]. And we will take our next question from [Alex Mac] who is a private investor. 
Unidentified Analyst: Okay, I'm a shareholder -- a long-time shareholder. The reason I want to call is I am obviously like many shareholder disappointed with the share price is almost an all time low. And the market cap for the company right now is about $200 million -- or $230 million. So, as a shareholder I'm just wondering what the company is doing to improve the confidence of the investment community? I know that you bought some shares back. But personally, I as a shareholder, I read about the comments, I see in the websites and about the company that it’s a bit concern with the level of debt the company has. In particular, those debts are at high interest rates, in the neighborhood of 9% to 10% onwards. So because of those high debt and high interest, I think the investors are very, very worried that the company may not be able to manage it and to the point of may not be able to survive. And for that reason, I think a lot of investors are shying away from owning the shares of the company. You wouldn't go. The current price is so much lower than the book value of the company, which is in the neighborhood of about $10 a share, only creating $2 a share. So, I don't know the inside detail of the company, but just one of my view is that I know the company pays a very good dividend about US$0.40 for the year, $0.10 per quarter. Why wouldn't the company, not say, reduce the amount of dividend or even remove it and use the funds from the payment of dividend, which roughly per year is about $25 million to buy back the company shares. If you use that to do that for five years, you’ll completely buy back 100% of the shares. As you know in the share market the price of the share is dependent upon the supply and demand of the shares. Is that more buyback by the company, the price of the share will be better. You still are using the money to pay the dividend, I think more money should be saved from the dividends payment and used to buyback of shares or to use some to pay down the debt. So I know the company has been growing very well. Comps growth extends at high levels. It really is not serving the interest of the shareholders. And I do know that the Chairman of the Company owns a significant chunk or percentage of the shares. There's still a lot of the shareholders out there like myself, I've been following the company for the last almost 10 years. The share price has been going down, it’s very disappointing.  So, just my question is, is the company doing something to help to reduce the debt? Number one. Number two, maybe reduce the payment or the size of the dividends and use the money -- save the money to buyback more shares? Okay. Can I get some response back from the company, please?
Brian Chen: Okay. First of all Alex I appreciate your long-term confidence in the company and holding the share. We shared some disappointment on share price performance. There’s a few things we are working on. One thing is that we are endeavored to improve the communication to the outstanding shareholder as well as the potential investor. As you're talking about -- one theory is that the share price will be driven by the true value and the growth potential of the company, as like focus -- almost 100% focus on in the past 10 years.  But on the other side, as you're talking about the supply and demand, we need to create the confidence and have information through more clearly and more transparently and use holistic approach to create understanding and confidence on the company.  So, starting from early this year, we reviewed the PR strategy, the investor relations strategy that's recently switched to a new PR firm, Blueshirt. We are -- in the last few months, we have reviewed it all we could. We had an intense conversation with our outstanding shareholder and potential ones. So the first thing we are doing is to improve the communication and investor relationship and address the need to understanding and somewhat like an even totally a baseless speculator or guess about the company's cash position and growing concern. That is one thing we need to address.  Second thing as you're talking about, we have to reduce the debt and bring it back to a healthier level. Let me make it clear, real estate industry in China is a capital intensive industry and the profitability and quick turnover can sustain a high level of -- maybe high cost of the borrowing. Number one, we know that, that is not necessarily a factor. If only you can make it a settlement, it's only you can generate more revenue, higher than cost of the borrowers. So, we are not going to reduce like 80% or 90% of debt to a zero level. But we will work gradually to a more healthy percentage as I answered to the previous investor.  In terms of the dividend payout policy, we are simply looking at the policy for the last three year and compare it to the other peer companies. For Q4, we believe that the payout ratio is reasonable. We have sufficient funds to make for that US$6.5 million dividend payout.  For 2020, we will review the external environment and we will -- and it’s at the decision of the Board to tell what is the best to the shareholders of the company. Last but not least, I would like to emphasize that talking about best, talking about the concern, don’t forget that we have about 4.5 million square meter of land bank. On the floor, it’s built by book value. But in fair market price or sellable levels we have 67.5 billion Chinese yuan of land banks. And all these land are located -- well located in the Tier 1 and Tier 2 cities and the liquidity is pretty well. If there is a need we can convert this land into cash to make the lift of the debt settlement. But believe that through the budget we should have a positive operating cash flow and healthy reasonable financing budget target to make a whole year debt obligation map. 
Unidentified Company Representative : Mr. Brian, the Chairman would like to make comment on the share repurchase. For the fourth quarter of 2019, we actually repurchased back around 1.3 million ADS. So -- and Board approved a certain amount of ADS and brought -- buy back from the market. So that's the Chairman would like to add on. 
Brian Chen: Thank you, Chairman. Did it answer you Alex?
Unidentified Analyst: I am glad you addressed the issue I raised. But I do feel that the company's debt is the main concern the investors are staying away from the company, because especially those debts are very at high interest rates, 9% or 10% or 8%. That's very high. I know -- the company -- as long as the cost, the revenue higher than your cost of interest. But still the investors are very worried about the level of debt. That's why they’re staying away.  The other point to just talk about is the amount of dividend. I think based on what I see in the stock market, the level of dividend which is about $0.40 a year is very good dividend. It gives you a yield of almost 20% right now because the share price of $2 a share. It’s not helping the share price. So, in my view, if you're paying $0.10 per quarter, maybe you use the price -- use the money saved, and buy back the shares. Because annually a $0.40 a year that amounts to based on the outstanding shares of about 60 million shares, or 50 million to 60 million something shares, that will cost the company about $25 million a year. If you use half of that money, let's say you reduce the dividend from $0.10 per quarter to $0.05 a quarter or annually $0.40 to $0.20, you use the extra funds saved over the market and buy the shares, I think it would to be more healthy. Would you agree? I'm just wondering. Because as you can see, in the last five years, the company has been paying good dividend but it is not helping the shares price. Because for a growth company, if you don't need a lot dividends to attract your investors. Just pay some dividend. Use it from $0.40 to $0.20 just a suggestion and use the extra funds saved which is about $12 million to $15 million to go back to the market to buy the shares, because your company's shares are not that of the high quality, average of 100,000 shares. You can buyback or get quite a few months of share to get money saved.  In some cases we might even reduce the dividend from I'd say $0.40 to $0.20 a year, so we have more money to go to market and buy the shares. So I hope the company will think about my suggestion. Use -- reduce the dividend in the future and use the money saved to go to the market and buy back shares. That's one thing.  And the second thing is, like I said, it’s good to grow the company with [indiscernible]. But you do have to get that to higher level, investor will find it too risky to invest in the company. 
Brian Chen: Thank you Alex. I think we have almost run out of time. But I would say that is a solid input. We do have this into consideration in the next line of dividend policy review. Just to let you know that we do appreciate all shareholders’ candid and straightforward input. Anything can help out the long-term value of the company, we will be still considering that. During the dividend payout in the last three quarters and this one is not stop-loss to continue to buyback our share as well as buyback our outstanding debt. We are actually continuing working on that, on a rate-by-rate basis.
Unidentified Analyst: Yes please take that into account for your future options and actions, especially with the debt level. High interest 9% or 10%. At the time when the prime interest rate in the U.S. is about 2%.
Operator: And we will move on to our next question. [Operator Instructions]. And we will take a question from [Peter Chen], who is a Private Investor.
Unidentified Analyst : The distribution and for [indiscernible] especially and continue the dividend policy rapidly in the year-to-date. [Indiscernible] the confidence from the network. I have been the company’s stockholder for over 10 years. I -- for now [indiscernible] but trust Chairman Zhang Yong and all under management there. The performance has [indiscernible]. And I -- and that Alex said as you need to reduce the debt, in spite all these facts like 9% or 10% [indiscernible] you already [indiscernible] a month and last month. With that I agree with Alex that I do not, I believe is about reduce the [indiscernible] because in terms of it the confidence in the company and [indiscernible] about the company future. But I do agree and I [indiscernible] through the spend more money on the share repurchase. And especially these current virus period, all the market is down and [indiscernible] is for example low, it’s ridiculous target. [Technical difficulty] so this major period you need -- just driven by more shares, doubled or tripled much of the money, buy back for the cycle period. So that is my opinion. Thank you.
Brian Chen: Thank you, Peter. I appreciate your comment. As mentioned earlier, we are currently still at a comfortable position to do post the dividend payout and buy back our shares. [indiscernible] according to the volume. But we are working on that. We pretty much kept the volume and we are trying to have -- looking for the other alternatives to improve and are pretty more confident back to the outstanding shareholder and the potential. Thank you for your comment.
Operator: Thank you. Seeing no more questions in the queue, let me …
Unidentified Company Representative : Chairman would like to comment on that. Hello. Chairman would like to comment on that question, please.
Yong Zhang : [Foreign language]
Unidentified Company Representative : Okay. Chairman quote -- Chairman commented, China has a very large real estate market overall with high speed increase over the past couple of years, and we need to leverage the high debt as well as the increase of the Company's growth with the profit as well.
Yong Zhang : [Foreign language]
Unidentified Company Representative : For the next three to five years, we like to keep the good balance between the good shareholders' return as well as the good increase for the company's revenue and profit.
Yong Zhang : [Foreign language]
Unidentified Company Representative : We've been continuously repurchasing the company's share as well as the debt.
Yong Zhang : [Foreign language]
Unidentified Company Representative : We will be continuing doing so. Okay, that's Chairman's comments on that. Thank you.
Operator: Thank you. And seeing no more questions in the queue, let me turn the call back to Brian for closing remarks.
Brian Chen: Thank you, operator and thank you all for participating on today's call and thank you for your support. We are [indiscernible] and look forward to reporting to you again next quarter on our progress. Thank you, operator.
Operator: Thank you. Ladies and gentlemen this concludes today's call. And we thank you for your participation. You may now disconnect.